Operator: Good morning, and welcome to Trican Well Service Fourth Quarter 2025 Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Brad Fedora, President and Chief Executive Officer. Thank you. Please go ahead.
Bradley P. Fedora: Thanks, Rud. Thank you, everybody, for joining us, and good morning. First, Scott, our CFO, will give an overview of quarterly results, and then I'll provide some comments with respect to the quarter, current operating conditions and the outlook over the next few quarters, and then we'll take some calls. There's a few members of our executive team in the room today, so we should be able to answer any questions that come up. And I'll now turn the call over to Scott.
Scott Matson: Thanks, Brad. So before we begin, I'd like to remind everyone that this conference call may contain forward-looking statements and other information based on current expectations or results for the company. Certain material factors or assumptions that were applied in drawing conclusions or making projections are reflected in the forward-looking information section of our MD&A for Q4 of 2025. A number of business risks and uncertainties could cause actual results to differ materially from these forward-looking statements and our financial outlook. Please refer to our 2025 Annual Information Form for the year ended December 31, 2025, for a more complete description of business risks and uncertainties facing Trican. This document is available both on our website and on SEDAR. During this call, we will refer to several common industry terms and use certain non-GAAP measures, which are more fully described in our Q4 2025 MD&A. Our quarterly results were released after the close of market on Wednesday evening and are available both on SEDAR and our website. So with that, a brief summary of our quarterly results. And my comments will draw comparisons to the fourth quarter of last year, and I'll provide some commentary about our current activity levels and expectations going forward. Trican's results for the quarter compared to last year's Q4 were generally stronger as overall operating activity came in a bit higher despite a challenging commodity price environment exiting the year. Our results for Q4 of 2025 also incorporate a full quarter of Iron Horse results following the closing of the acquisition in Q3 of 2025. Oil pricing was challenged as we came through the second half of 2025 and had a significant impact on Q4. Oil-focused customers delayed and in some cases, shelved projects in response to deteriorating economics, significantly impacting the Iron Horse division during the quarter. But overall, our revenues for the quarter were $322.7 million compared to the $275.5 million we generated in Q4 of 2024. Adjusted EBITDA for the quarter was $73.4 million or 23% of revenues, compared to adjusted EBITDA of $55.6 million or 20% of revenues generated in Q4 of 2024. Adjusted EBITDAS for the quarter came in at $75.3 million or 23% of revenues, up from the $58.6 million or 21% of revenues in Q4 of last year. To arrive at EBITDAS, we add back the effects of cash-settled share-based compensation to recognize in the quarter to more clearly show the results of our operations and remove some of the mark-to-market impact of the movements in our share price between reporting dates. On a consolidated basis, we generated positive earnings of $31.9 million in the quarter, which translates to $0.15 per share, both on a basic and a fully diluted basis. We generated free cash flow of $46.6 million during the quarter, and our definition of free cash flow is essentially EBITDAS less nondiscretionary cash expenditures, which includes maintenance capital, interest, current taxes and cash settled stock-based compensation. You can see more details on this in the non-GAAP measures section of our MD&A. CapEx for the quarter totaled $15.1 million, split between maintenance capital of about $12.8 million and upgrade capital of $2.8 million. Our upgrade capital was dedicated mainly to the electrification of our fourth set of ancillary frac support equipment and ongoing investments to maintain the productive capability of our active equipment. From a balance sheet perspective, we exited the quarter with positive noncash working capital of $179.2 million. At December 31, we had debt of $79.9 million, net debt of $79.9 million, comprised of loans and borrowings of $92.4 million, which was offset by cash of $12.5 million. Our debt at December 31 was primarily related to the acquisition of Iron Horse and our normal working capital and investing activities during the quarter. This translates into just under 1/3 of a turn of leverage using our trailing 12-month EBITDAS figure and a portion of this is already unwound, and we expect our net debt position to trend downward as we move through 2026. With respect to our return of capital strategy, we repurchased and canceled 1.4 million shares under our NCIB program in the fourth quarter. On an annual basis, in 2025, we repurchased and canceled 12.1 million shares at a weighted average of about $4.35 per share, representing 6.4% of the shares outstanding at the beginning of the year. Subsequent to Q4 of 2025, we've repurchased and canceled about 300,000 shares, and we continue to be active in our buyback program when market prices are at levels that provide for a favorable investment opportunity. As noted in our press release, the Board of Directors approved a dividend of $0.055 per share, reflecting approximately $11.5 million in aggregate to shareholders. The distribution is scheduled to be made on March 31, 2026, to shareholders of record as of the close of business on March 13, 2026. And I would note that these dividends are designated as eligible dividends for Canadian tax purposes. So with that, I'll turn things back to Brad.
Bradley P. Fedora: Okay. Thanks. I think overall, Q4 went really well and pretty much as expected. We've worked hard in the last few years to try to create a customer list that has allowed us to be fairly level loaded throughout the year with maybe the exception of a little bit of Q2, but it seems to be working. Our quarters all now seem to be quite similar in volumes, and that's a great advantage from a staffing and an equipment allocation perspective as you can rightsize the business for the entire year, you're not just staffing for the peaks and then absorbing the costs during the valleys. So I think all of that has gone really well for us. I mean, as usual, it seems like in Q4 lately, we did experience some pricing pressure. Just some of our competitors are less busy than we are, and they're trying to fill their board. We generally just sort of get through that. Of course, we don't live in a vacuum, but most of our customers are all very long-term relationships, and we seem to get through a lot of that. Obviously, we have much improved natural gas prices compared to the last 18 months. So that has helped. I mean it's been a very warm winter in Western Canada. And I think we've done a really good job of sort of fighting our way through that. We had very much spring-like conditions for the bulk of February and lots of January. So it's been a little bit choppy, but I would say we're having a good quarter, and we always factor that into our forecasting. And so I think Q1 will be very much in line with consensus. I don't think there'll be any big surprises there, even though we did have some tough weather to deal with. Our customers are still very focused on technology and efficiency. I think we've done a really good job with this. Particularly, they want to burn natural gas in place of diesel anytime they can just due to the cost savings and the lower emissions. And so our pumping assets, in particular, and our electric equipment, that's [indiscernible] leading the industry with that regard. We're very fortunate to have a customer list that is focused on technology and does recognize the investments that we've made. And so we're working together to make sure that as their programs develop and evolve, we're making sure that we keep up from an asset and a technology perspective so that we can look at the long term together and say, what is this industry going to look like in 5 years and make sure that we're on the forefront of those changes. I would say even with the Iron Horse acquisition, most of our work is natural gas. We're probably 70% natural gas and 30% oil projects. So we're happy that natural gas has got back to more reasonable levels. Obviously, oil in the last week or so above $65 or even [indiscernible] very helpful to the Iron Horse division, and that should make for a sort of a much more robust year this year than last year. So we're kind of crossing our fingers that oil prices hang in there. We have seen a lot of the BC work slowdown but it's been more than picked up by the Duvernay work that we've been doing. So we're not really experiencing any changes there. In many ways, the Duvernay work is right in the backyard of a few of our operating bases. So happy to be in that play. And I'd say, in general, all 4 of our divisions being Trican frac, Iron Horse frac, Cement and Coil are all working really well. And I'll maybe just touch on all 4 of those divisions. So the Trican frac, which is the deep fracking, the big pads in Northwest Alberta, Northeast BC. Again, going very well. We've spent the last few years really differentiating our service offering with natural gas pumping assets and electric ancillary equipment on location. We're the only company in the basin that provides a full suite of electric assets on location, and it's been very well received. We've just put into the field our fourth set of ancillary equipment, which includes like blender and chem blending, things like that. So the sand belts, et cetera. So we basically cannot keep up with demand on those electric assets. When you combine the electric equipment with our Tier 4 equipment and in the future, 100% natural gas equipment, you'll have basically almost full displacement of diesel on location. So again, very well received. Without a doubt, we would be viewed as the technical leader in this industry with respect to [indiscernible]. We're still seeing wells get longer using more sand per well. I think this -- in 2025, I think we pumped about 8.5 million tonnes of sand as an industry. And there's lots of analysts that are forecasting that, that's going to grow to over 12 million tonnes per year by 2030. So that's, without a doubt, a trend that we're making sure we capitalize on. And the flip side of that, though, is we are seeing more customer supplied sand, which is fine. Our customers are looking to save money wherever they can, that's okay. We'll try to replace some of that margin with our greatly expanded logistics business. We've really focused in the last few years of building up our logistics because you're dealing with these kinds of sand volumes, and again, I've used some of these analogies before. We've got 50 to 100 railcars of sand being pumped into a well over a period that might only be 48 hours long. And so you're having a B train of sand show up every 12 to 15 minutes on locations. Getting that logistics part right is a huge driver and efficiency for our customer and profitability for us. So we've done a fantastic job of building out our logistics business. We're not able to actually build it as fast as we would like it just due to availability of drivers. But we will continue to expand that. We're a leader in sand logistics in Western Canada, and I don't see that changing anytime soon. And just to put this into perspective, we were on a Duvernay well not too long ago, where over a 24-hour period, delivering sand with our trucking fleet, I think we drove over 60,000 kilometers in a 24-hour period, which is 1.5x around the world. So it helps put that in perspective just how important logistics are, especially in a compressed time frame like we're dealing with. So kudos to our logistics team, and we'll continue to highlight that and showcase that to our customers to help continue our differentiation. We have received now our first 100% natural gas Cat, what are called 3520 natural gas high-rate frac pumpers. The testing of that equipment is going very well. It will be deployed into the field in the second quarter. We expect to have a full suite of a 10-pumper frac spread available and operating by early fall. And what this enables us to do is have less pumps on location, less people, pump 100% natural gas instead of a combination of natural gas and diesel. So for our customers, it means lower fuel prices, lower emissions. And for us, I think these new assets will be a little bit better at dealing with a variety of field gas. So we should have more efficient operations on that -- in that respect as well. So really looking forward to that. And when you combine those assets with our electric ancillary equipment, we'll have basically 100% natural gas operation. As well later in the year, we will be receiving our first natural gas semi-trucks. So what pulls the big tractor units that pull the sand around. And we will slowly but surely evolve our trucking fleet to run on natural gas. We're a little ahead of our time with respect to the fueling stations that are available throughout Western Canada. So we are going to be working with our customers in conjunction with them to make sure that there are fueling stations in all the places we need. But really looking forward to this. Again, lower fuel prices should be lower R&M. And just generally, it's nice to see that we are -- we as a service provider are burning the natural gas that our customers are producing every day. So we're working with them in conjunction to really build out a rounded industry. On the Iron Horse frac side, which is sort of on the oilier coil fracking. Really happy with the acquisition. The integration is going really well. I would say we're very pleasantly surprised with the synergies that we've been able to extract. And with respect to things like fuel, chemical sand, we hadn't really built a lot of that into our acquisition, but I think that is working better than we had hoped or certainly better than we had planned on. Obviously, we're a little disappointed with oil prices post the acquisition. Field work volumes came down. That's okay. Oil prices have firmed up here, and I expect that they'll be getting up to a level that we were sort of banking on last year. But the acquisition has gone very well. They're the #1 provider in that part of the world, which is sort of Eastern Alberta, Saskatchewan, into Central Alberta. They provided us with [indiscernible] previously, we had almost 0 market share. We'll use their relationships to grow our Cementing business in that part of the world as well. So very happy with that acquisition. On the Cementing side, Cementing division continues to perform extremely well, very high market share in plays like the Montney and the Duvernay. We have expanded recently into the SAGD market in the Christina Lake area. That's gone very well. We expect that we will be able to grow that sort of area fairly significantly over the next 18 months. I think in Q4, our revenue and jobs were up 33% in Q4 over 2025 versus 2024. So that division continues to perform very well. We're adding AI technology to things like our bulk plant to reduce blending errors, increasing blend qualities for our customers. So even though we've been active in that business for a long [indiscernible] we're taking advantage of technology anywhere we can to make that division perform even better. We actually will have what we will call like a hybrid cementing unit soon, too, where it's partially electronic or electric. So getting rid of a lot of the hydraulics that you can have trouble with in [indiscernible]. So I would say slowly, but surely, that division will evolve into sort of an electric style equipment just much like our natural gas or our fracturing assets. On the Coil side, the buildup of the Coil business is going very well. We have reorganized our management team about a year ago or so. And now that division is getting the attention that it always needed. A great portfolio of customers. We have all the top operators in the basin. We set horizontal and depth records last year. Those -- our performance field has allowed us to add Montney and Duvernay customers. We have lots -- we have a wide variety of oil strings. So I would say that division build-out is going very well, and it's now sort of financially performing more consistent with the other 3 divisions as well. So I think that will slowly surely just grow in size and scale, which [indiscernible]. On the long-term outlook perspective, we're still incredibly bullish about Western Canada. When we look at the plays here like the Montney and the Duvernay in the context of North America, this is the place to be. I think the key with being a service provider in these plays is you've got to be constantly pushing and evolving your -- the technology offering that you have and making sure that as these plays get developed, we become more and more efficient. And we are seen as sort of the technical leader in the pumping space, which certainly we have been. You're going to have ups and downs based on the gas price, et cetera. But certainly, when you view what's happening on the LNG side, getting up to full capacity this year with more LNG to come, we think there's going to be like a foundation of gas pricing in Canada for the next years and beyond. And certainly, we are very happy with the position that we've built up in place in Northwest Alberta, Northeast BC, which will be fueling LNG. So it's a great place to be. We're not looking to change any of that. In fact, if anything, we're looking for acquisitions going on, not even with just consolidation [indiscernible] Iron Horse, but other service lines as well, just because we think Western Canada will be a great place to be operating for the next 5 years and beyond. And where do we see sort of revenue growth come from? It's obviously the well count will increase as the gas price solidifies and grows. We're seeing increasing sand volumes going into each of these wells, which just means more time on location for us. We're seeing our Logistics division expand. And when we look at the Coil and Cement divisions, we think both of those divisions can continue to acquire market share in all of the plays in Western Canada. So again, we are very optimistic about the next 5 years. Just back to the return on capital that Scott had touched on, we generate -- we continue to generate significant free cash flow. And we expect that we'll maintain a conservative balance sheet. We've always subscribed to a diversified return of capital strategy, meaning a combination of dividends and NCIB. The NCIB volumes will go up and down with the opportunities in the context of the other opportunities. We very much view our NCIB as M&A. But I would expect that over the next few years, we will allocate probably around 50% of our free cash flow to shareholder returns, whether it's in the form of dividends or NCIB. And just we'll always be looking in the context of the market to see what else is available. We're not afraid to use our bank lines. We do hold a conservative balance sheet, but that's to make sure that we have the capacity when we need it. So we're not afraid to use our bank lines if we find an attractive investment or even organic growth opportunities like we did with Iron Horse. We're always looking for the best possible returns for our shareholders, and we'll allocate capital accordingly. We are starting to see, I would say, more growth opportunities than we've seen in prior years. And we'll just be very diligent and disciplined when we're looking at acquisitions and good things take time. So we won't get over our skis. We'll just be very analytical, and we'll see if we can get something interesting done in the next few years. So I just want to stop there, given it's year-end, I just want to say a thank you to our customers and our employees. And as I think everybody knows, Trican is committed to improving its workplace safety and creating an environment for our employees. We operate a very complicated business with large capital requirements. We're in the field 24 hours a day with logistics and engineering support, running specialized equipment in very remote operating areas under what are fairly extreme conditions. Our employees make our field execution look easy. And I can assure you, it is not. So thanks to our customers. Thanks to all our employees for their dedication to Trican and the Iron Horse division, which is now part of the Trican family. And I just want to say thanks to everybody as we can't do it without all the great staff that we have. So I'll stop there, operator, and we'll turn the call back for questions.
Operator: [Operator Instructions] Our first question comes from Aaron MacNeil from TD Cowen.
Aaron MacNeil: First question, you may not want to get into specific customers, but ARC recently removed Attachie Phase 2 from its 5-year plan and has withdrawn its broader Attachie-related guidance. Have you seen any direct impact of this yet? And how are you thinking about it in the context of overall basin demand for pressure pumping on a go-forward basis?
Bradley P. Fedora: Projects are always being added and subtracted. We're not fussed by that. I mean there's nothing wrong with certain people like ARC sitting back every once in a while and saying, "Hey, can we do this a little differently? Can we do this a little bit better?" I mean maybe they should have used the dust to frac their wells. So -- but we're not too fuss. We're not too fuss by stuff like that. You're going to see that from time to time. It's an active basin. It's a technical basin. It's -- there's not -- that's healthy.
Aaron MacNeil: Fair enough. But safe to say you didn't have any exposure to that directly?
Bradley P. Fedora: No. We do work for them. There's no such -- we don't operate in a vacuum, like when things like that happen, assets get freed up. But no, I mean, we're still very bullish on Northwest Alberta and Northeast BC.
Aaron MacNeil: Fair enough. Can you say a bit more about wet sand? How prevalent is it today? How prevalent do you think it will be in the future? And what the potential impact might be on your sand infrastructure assets and logistics businesses?
Bradley P. Fedora: Yes. Like what Aaron is asking about is there's recently a few companies have been trialing wet sand in Western Canada. And what that means is just using a lower grade, but closer source of sand that generally comes more almost from a gravel bit than a frac sand mine. So it's not sorted. It's not dried, questionable consistency and quality, but it's close, which means it's cheap. Because by the time frac sand gets to location, probably 70-plus percent of the total cost of that sand is just the transportation of it. And so any time you get the opportunity to use a sand source that's very close to the project area, there's a big opportunity for transportation savings. Now you're -- what you're saving in transportation, you're giving up in sand size, consistency and quality. But [indiscernible] they did it in the U.S. I think we're having a look at it in Canada because it does have -- frac sand today is dried, because it does have water and it makes it a little tricky to operate in the winter. But we're -- the customers are going to trial it. It still needs to get from A to B. And so our logistics group is still going to be very much active in that. We don't really hold any other fixed assets from a logistics [indiscernible] I think any time the industry has the opportunity to cut costs, which will undoubtedly result in more wells being drilled, I think that's a good thing. But it will be a while yet before the wet sand sort of opportunity gets [indiscernible] very limited volumes at this point. It has been just a handful have been trialed with inconsistent results, frankly.
Operator: Our next question comes from John Gibson from BMO Capital Markets.
John Gibson: Just on pricing, you talked about it coming off in Q4 and to start of the year. As we think about the improved commodity backdrop and maybe a pickup in gas-related drilling, how do you expect pricing to go up or down as '26 progresses?
Bradley P. Fedora: I think it is going to be fairly level here for a while with, I would say, an upside bias just with improving commodity prices [indiscernible] hard to say when, but...
John Gibson: Does it differ per region? Or does it kind of rise and fall across the basin fairly evenly?
Bradley P. Fedora: I would say it differs with definitely -- there's two very distinct -- there's natural gas and then there's oil with our Trican frac division versus our Iron Horse frac division, they're in two very different commodities, right? So you definitely can have sort of opposing forces going on at any given time. So we definitely would look at the two commodities distinctly there for those two divisions.
John Gibson: Got it. In terms of the new fleet, will this be additive to your current horsepower? Or is it going to replace some older equipment?
Bradley P. Fedora: No, we certainly hope it will be additive. When we were ordering this and just talking with our customers about what their plans were for the next 5 years, we don't see any reason why this won't be additive. But you may never get the timing exact, but certainly, we ordered this with the intention that it is fleet.
John Gibson: Okay. And then last one for me. I'm not sure if you know the answer to this, but just given your last mile logistics moves over the past few years, along with some of your peers, can you estimate how much capacity you've added to the basin in terms of pumping capacity that was maybe previously constrained?
Bradley P. Fedora: So what you're asking is, with improved logistics, how much pumping capacity increase does that result in?
John Gibson: Yes. It seems like the last few years, one of the constraints was last mile logistics, and you and your peers have been working on this for quite a while. So I'm just wondering if and when things turn a little bit, what is the incremental sand you could pump or that sort of stuff that was previously constraint?
Bradley P. Fedora: I couldn't tell you the answer to that off the top of my head. I would say this, though, I think the sand volumes are going to grow faster than our ability to add logistics assets. The sand volumes have grown from 4 million tonnes a year to 8 million tonnes a year in the last, say, 4, 5 years. And I would doubt that the logistics fleet has doubled. There's a long lead time on tractors and trailers and getting experienced drivers that can drive in the conditions that we're asking versus like long-haul drivers. My guess is we'll be fighting to keep up with the growth in sand volumes.
Operator: Our next question comes from Colby Sasso from Daniel Energy Partners.
Colby Sasso: I just wanted to ask, with exports from LNG Canada beginning in 2025 and further LNG exports anticipated in 2026, how does Trican expect these developments to influence the industry? And additionally, how is the company approaching the opportunities created by this emerging market?
Bradley P. Fedora: Okay. That's a big question. Certainly, LNG, we -- remember when we produce 19 Bcf a day in Canada, when LNG Canada [indiscernible] train, I guess, you call it, is just under 2 Bcf a day. So we -- 10% of Canadian production is now getting exported. And as other LNG assets get added, I think you just -- you put a floor in your natural gas pricing because you're not just selling into the North American market anymore. A lot of the other things we don't talk enough about, too, is our customers have very sophisticated marketing [indiscernible] where they're selling gas, not just to Canadian LNG, but actually into U.S. LNG and other sales point around the U.S. So we're not just relying on a Canadian gas price anymore. So it should be a foundation of activity going forward that we've never had previously. And so what are we doing? I think I talked about that in the call, which is we're building the most technically advanced fleet, and we're continuing to reinvest our capital into the Canadian marketplace to ensure we're the #1 service provider as this industry unfolds in the next few years. So I think we'll be a direct recipient and our customers will be direct beneficiaries of the capital that we've invested.
Operator: Our last question comes from Tim Monachello from ATB Cormark.
Tim Monachello: I'll try to keep it short here. In terms of the commodity price rally that we've seen in oil and the Iron Horse outlook, it sounded like at least during the Q3 conference call that Q1 was going to be a pretty busy quarter for Iron Horse, and then you'll hit some typical seasonal slowdown. So I guess the reduced sort of outlook for the year, at least the Q3 was coming from the back half. So with commodity prices in that north of $65 range, do you think you can get back to that $80 million mark was sort of initially contemplated when the acquisition was done?
Bradley P. Fedora: Yes, maybe not this year. Weather in Q1 actually probably affects them more than us, just given the wonky weather we had. So they're having a good Q1, don't get me wrong. But if we -- certainly, if oil holds into at these levels, we'll get back there. Exactly when? I don't know. But the workload is very elastic to oil pricing in that part of the world. So yes, we're still really happy with that acquisition.
Tim Monachello: Do you get any sense from customers on, I guess, a changing mood or sentiment around what they're going to do in the back half yet? Or is that too early to call here...
Bradley P. Fedora: Yes. The sense we get is, especially here at the $65 level, oil holds in here, that will -- there will be a direct drilling response to that. You need to have it for more than a couple of days, obviously [indiscernible] but certainly, when you talk to customers, they've got lots of what ifs built into their budgets, right? And budgets go up just as easily as budgets go down. So if we hold in at the $65 level, we would expect them to have a busy second half.
Tim Monachello: Okay. Got it. And then second question, it sounds like you're building or deploying some new natural gas equipment in other ancillary service lines like in the trucking and Cementing business. Can you talk a little bit about, I guess, the capital outlay that's going to be required over the next couple of years to, I guess, integrate all of that equipment? And I guess, to what degree do you expect to replace equipment that's not natural gas or upgrade current equipment?
Scott Matson: Yes. Tim, if we kind of look at 2026 on its own, about half of our capital program is what we would call expansion. So our $120 million split it in half, roughly $60 million of that is expansion. And the bulk of that, about $40 million of it is related to our natural gas fleet. So that's kind of a ballpark number you would need to think about if we go forward, maybe one of those fleets per year would be the maximum we could possibly do just from a timing and the logistics and a build perspective. But we're certainly not in a -- we're not in a massive rebuild CapEx cycle. As we pick away at things like natural gas tractors and the logistics side, those are small bites as we go through. And then even thinking about the stuff that Brad was talking about around the Cementing assets, those are fairly small bites as well. So I don't see this as the start of a massive CapEx cycle. We're going to pick away on it. And the biggest chunk by far would be kind of looking at that natural gas frac fleet.
Tim Monachello: Got it. And the one cementing unit, I guess, it's going to be natural gas. Is that an upgrade? Or is that like a new unit?
Bradley P. Fedora: It's an upgrade. And so it wouldn't be full natural gas tractor and stuff. It's -- a certain part of it will be -- will basically be electric, yes. And so it's called a hybrid unit. We're looking at fully electric, what we would call fully electric units. And what happens is you've got the electric -- these big electric drilling rigs on location. And so we sort of basically for lack of a better way to [indiscernible] when we get there. And so you're -- electrical generation equipment like frac because, of course, that just wouldn't be practical. Your cement jobs don't last that long. So as the rest of the industry sort of generates -- is generating electricity via natural gas on location that allows us to sort of evolve and build out assets that can work in conjunction with them on location.
Operator: And we have no further questions. I'd like to turn the call back over to Brad Fedora for closing remarks.
Bradley P. Fedora: Okay. Thank you, everyone. We appreciate your time and your attention to our call. If there's anything else you'd like to ask, please just call us. We'll be in the office all day today. Thanks again.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.